Operator: Good morning, and welcome to the First Quarter 2023 Earnings Conference Call for Bimini Capital Management. This call is being recorded today, May 12, 2023. At this time, the company would like to remind the listeners that statements made during today's conference call relating to matters that are not historical facts are forward-looking statements subject to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995.
 Listeners are cautioned that such forward-looking statements are based on information currently available on the management's good faith belief with respect to future events and are subject to risks and uncertainties that could cause actual performance or results to differ materially from those expressed in such forward-looking statements. Important factors that could cause such differences are described in the company's filings with the Securities and Exchange Commission, including the company's most recent annual report on Form 10-K.
 The company assumes no obligation to update such forward-looking statements to reflect actual results, changes in assumptions or changes in other factors affecting forward-looking statements. Now I'd like to turn the conference call over to the company's Chairman and CEO, Mr. Robert Cauley. Please go ahead, sir. 
Robert Cauley: Thank you, operator, and good morning. Thank you for joining us today. Last Wednesday, the Federal Reserve raised the target range for the Fed funds rate another 25 basis points to 5% to 5.25%. With that hike, the Fed has signaled that it has either finished raising rates or very close to doing so. The pace and magnitude of this tightening cycle that began last March has been unprecedented and the possibility it's nearing its conclusion should be a major relief to the market, not quite.
 In fact, it hardly seems to matter. The extreme market volatility dominating markets that began in early 2022 has continued into 2023 and shows little sign of abating. A widely followed measure of fixed income market volatility, the MOVE Index, is at very elevated levels and has been for the longest period since the 2007-2008 great financial crisis. Adding significantly to the market's angst and volatility has been the failure of several large regional banks requiring the institutions to be placed into FDIC receivership, or in the case of First Republic, hastily arranged takeover by JPMorgan.
 These failures led to the FDIC to commence a prolonged process of liquidating their assets or approximately $114 billion of securities. Both Royal Palm and Orchid's portfolio contain significant allocation to the MBS sectors to be sold as does the Agency MBS index. The liquidation auctions, which commenced on April 18, have adversely affected the Agency MBS market, although there was a considerable spread widening occurred before the auctions actually began as the market priced in the effect of the added supply.
 Needless to say, the auctions have the potential to affect the performance of Royal Palms and Orchid's portfolio. While there is significant uncertainty surrounding the impact of these liquidation auctions on the market, over the balance of time, they need to complete them. To date, the sales have gone fairly well and mortgages have not wind materially more. To the extent REIT stock prices are affected as well, the auctions could also impact Orchid's ability to raise additional capital, which would affect the level of management fees paid to Bimini Advisors.
 Since the failure of Silicon Valley Bank, the stock prices of the mortgage REITs and Orchid's peer group are down between 5% and 15%, with Orchid's down by approximately 7.5%. On the positive side, the recent poor performance of Agency RMBS resulting from the liquidations is that these securities currently offer very attractive returns over a long time horizon, and therefore, the potential for very attractive returns for both Royal Palm and Orchid. 
 On balance, we view these developments as offering near-term risks, but offset by a long-term opportunity to acquire MBS assets at very attractive levels potentially on the eve of a pivot by the Federal Reserve and lower funding costs later this year or in 2024.
 Turning now to our financial performance during the first quarter of 2023. With respect to the MBS portfolio at Royal Palm, we do not add or sell any MBS securities during the first quarter of 2023. During the first quarter, we recorded $0.7 million of unrealized mark-to-market gains, which were offset by paydowns of approximately $0.9 million. The net of these was a $0.25 million decrease in the MBS portfolio. Going forward, we are focused on taking advantage of the attractive long-term return opportunities available in the market.
 We have accumulated cash and have a sizable IO position that may be liquidated and we would, therefore, use the proceeds to grow the pass-through portfolio. As for the advisory services segment during the first quarter of 2023, Orchid reported net income of $3.5 million and its shareholders' equity increased from $438.8 million at December 31, 2022, to $451.4 million at March 31, 2023.
 Increases in shareholders' equity may lead to additional management fees at Bimini Advisors in the near term since the management fees are a function of Orchid's equity. Orchid share price increased during the quarter from $10.50 to $10.73, resulting in a $0.1 million gain on our shareholdings. Orchid's dividend was unchanged for the quarter. Finally, advisory services revenue related to Bimini Advisors management of Orchid Island were $3.4 million for the first quarter of 2023 compared to $3.3 million for the fourth quarter of 2022.
 Operator, that concludes my prepared remarks, and we can open the call up to questions. 
Operator: [Operator Instructions] At this time, we currently have no questions registered, so I'll hand it back over to Robert Cauley for any remarks. 
Robert Cauley: Thank you, operator, and thank you, everybody, for joining us. To the extent you have any questions that pop up later or you happen to listen to our replay and have a question, please feel free to contact us. The number here in the office is (772) 231-1400. Otherwise, we look forward to speaking with you next quarter. Thank you. 
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your lines.